Operator: Welcome to the Wyndham Hotels and Resorts Fourth Quarter and Full-Year 2024 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions]. I would now like to turn the call over to Mr. Matt Capuzzi, Senior Vice President of Investor Relations. Please go ahead, sir.
Matt Capuzzi: Thank you, operator. Good morning and thank you for joining us. With me today are Geoff Ballotti, our CEO; and Michele Allen, our CFO and Head of Strategy. Before we get started, I want to remind you that our remarks today will contain forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. These risk factors are discussed in detail in our most recent annual report on Form 10-K filed with the Securities and Exchange Commission and any subsequent reports filed with the SEC. We'll also be referring to a number of non-GAAP measures. Corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release and investor presentation, which are available on our Investor Relations website at investor.wyndhamhotels.com. We are providing certain measures discussing future impact on a non-GAAP basis only because without unreasonable efforts, we are unable to provide the comparable GAAP metric. In addition, last evening, we posted an investor presentation containing supplemental information on our Investor Relations website. We may continue to provide supplemental information on our website and on our social media channels in the future. Accordingly, we encourage investors to monitor our website and our social media channels in addition to our press releases, filings submitted with the SEC and any public conference calls or webcasts. With that, I will turn the call over to Geoff.
Geoffrey Ballotti: Thanks, Matt. Good morning, everyone, and thanks for joining us today. We're thrilled to report a very strong finish for the year with net room growth of 4% and comparable adjusted EBITDA and EPS growth of 7% and 10% respectively, all in line with our expectations. We opened a record 69,000 rooms, the largest number of annual organic room additions in Wyndham's history and 4% more than last year. Our global retention rate improved another 10 basis points to 95.7%, a level of franchisee engagement and satisfaction that's never been higher and a testament to the strength of our owner first value proposition. Domestically, net rooms grew sequentially and year-over-year, including a 4% increase in our midscale and above brands with conversions like the Wyndham Atlanta Buckhead Hotel & Conference Center, along with half a dozen new construction La Quinta hotels opening in growing infrastructure markets like Dallas, Austin, and San Antonio, Texas. Our ECHO Suites brand opened in new markets like Nashville, Indianapolis, Madison, Wisconsin and Richmond, Virginia. And as this new brand stabilizes, operating performance continues to exceed owner expectations from both the market share and an extended stay occupancy standpoint. We also expanded our upscale extended stay segment offerings this quarter with the launch of apartment style Wyndham Residences in Washington, D.C. and Downtown Houston. The extended stay market is predicted to grow nearly 30% from $21 billion in 2024 to $27 billion by 2028. And it's a segment with ECHO Suites, Hawthorn Suites, WaterWalk and Wyndham Residences that now represents nearly one-third of our growing domestic development pipeline. Internationally, we grew net rooms 2% sequentially and 7% year-over-year. In EMEA, net rooms increased 5% with over a dozen conversion and more than half a dozen new construction hotels, including our first Wyndham Garden on the Indian Subcontinent in Haryana's popular travel destination of Sonipat, and the Ramada by Wyndham Gaziantep in the sixth most populous city in Turkey, a country where we now have opened over 120 hotels. Development momentum across EMEA remains robust with our pipeline growing 20% at an average FeePAR 17% higher than the region's current portfolio. In Latin America, our development pipeline grew by 15% at an average FeePAR 23% higher than the current system. Net rooms in the region grew by 11%, including a solid mix of conversion hotels like the Wyndham, Puerto Varas, Chile and new construction additions like the new Wyndham Tulum located in the heart of Mexico's Yucatan Peninsula. Our Southeast Asia and Pacific Rim region grew net rooms by an impressive 16% with over half a dozen new construction openings, including two in Thailand's coastal vacation destination of Pattaya, the trademark Beverly Mountain Bay Resort and the Howard Johnson's Jomtien Beach, along with the new construction trip by Wyndham Southport overlooking Australia's Gold Coast, this region's pipeline stands at over 100 hotels at a FeePAR that is 25% higher than its current portfolio. And in China, our direct franchising system also grew 16% with over 60 openings in the quarter, half of which were new conversions and half of which were new construction hotels, including the spectacular five star Wyndham Quanzhou, our fortieth Wyndham Garden Hotel in Hangzhou and our ninetieth Days Inn Hotel in China, the beautiful new construction Days Inn, Shantou. Development activity across China set new records with 150 direct franchise agreements signed last year, pushing the region's direct franchising pipeline to nearly 400 hotels at a FeePAR that is 40% higher than that of our current China direct franchising system. Over the past three years, our direct franchising system in China has grown at a 13% CAGR, while our master franchisees have grown by approximately 1%. We're in not for the drag of these legacy master license agreements, which have a nominal impact on EBITDA, our net room growth in 2024 would have been 40 basis points higher, underscoring the importance of and our focus on accelerating the growth of our direct franchising brands internationally, where we continue to build a pipeline of higher quality hotels that deliver stronger FeePAR and greater revenue potential. Looking ahead, we remain confident that our direct franchising model will be the key driver of sustainable growth across our international regions. U.S. RevPAR in the fourth quarter grew by 5.3%, including a 140 basis point contribution from hurricane impacts. Excluding the hurricane lift RevPAR improved 3.9%, reflecting increased blue collar mid-week business demand and leisure transient weekend bookings. As expected, we continue to see strong weekday performance driven by infrastructure bookings. Throughout 2024, we saw over 2,200 major infrastructure project starts totaling nearly one quarter of a trillion dollars in value with nearly 80% of these projects located near at least one and often several Wyndham branded hotels. Wyndham franchisees in these markets experienced a RevPAR increase of more than 6% in the fourth quarter alone, contributing 140 basis points to our overall fourth quarter U.S. RevPAR growth. The surge in data center demand in construction has become a defining trend in the digital era. And Wyndham has dozens of hotels within a 10 mile radius of the top 10 data center projects that commenced in 2024 across the United States. These hotels saw an impressive year-over-year Q4 RevPAR premium of nearly 500 basis points compared to the rest of our U.S. portfolio, with about half of this market share gain coming from increased demand and the remainder resulting from improved pricing power driven by occupancy gains. This performance gives us increased confidence in continued outsized RevPAR improvements for the hundreds of existing and pipeline hotels that we have, not only in top data center markets like Silicon Valley and major metro areas like Dallas, but also in emerging data center markets like Columbus, Ohio and Jackson, Mississippi, where our sales, development, and marketing teams are focused on for increased growth opportunities. Importantly, leisure demand increased 3% over the year during the fourth quarter in non-hurricane affected regions. U.S. leisure travel intentions for the next six months have increased year-over-year across all income brackets, according to MMGY's latest survey reflecting broad based confidence in both travel and the overall economy. And consumer trends that we're seeing remain healthy. Booking lead times lengthened this quarter by another 4%, while average lengths of stay improved by another 2%, driving increased spending and higher ancillary revenue for both Wyndham and for our franchisees. Just as our domestic business showed strong momentum, international markets were also meaningful contributors with 6% year-over-year RevPAR growth in constant currency. Excluding hyperinflationary Argentina, Latin America RevPAR grew by 32% with both pricing power and higher FeePAR additions in Brazil, Mexico and The Caribbean. Our EMEA region saw a 7% lift year-over-year led by strong performance in Spain, Turkey, Austria and Greece. And our Southeast Asia and Canadian regions each posted 5% growth year-over-year. These gains were partially offset by continued deflationary pressures in China, where RevPAR declined 11%. China ADR still remains 3% ahead of 2019, while occupancy remains at 80% of pre-COVID levels. Royalty rate growth this year was strong, increasing by 10 basis points domestically and 12 basis points internationally, reflecting a deliberate effort to remix the composition of our portfolio to drive higher royalty rate hotels into our system. By enhancing the value proposition and revenue contribution for our hotels, strategically expanding our brands and markets where we have scale and concentrating openings with higher FeePAR hotels while exiting lower FeePAR properties, we've been able to push fee structures higher. The FeePAR of 2024 domestic openings represented a 36% premium relative to the rooms that exited the system during the year. And the FeePAR of 2024 international openings represented a 27% premium relative to the international rooms that exited the system last year. Just as our development strategy is targeting significantly higher FeePAR additions to our portfolio, our marketing strategy is targeting both a younger and more affluent customer. Our teams continue to succeed in attracting more Gen Y and Gen Z guests, growing by another 130 basis points versus 2023, while retaining loyalty among retiree and older generations. Our guests' average household income of $104,000 is over 9% higher than last year with a growing share of check ins coming from higher income guests earning over $200,000. A key driver of this success is Wyndham Rewards, which continues to generate strong engagement and value for franchisees. Membership has now reached 114 million members globally, an 8% increase versus last year. And the program's share of U.S. occupancy increased 200 basis points in 2024, now accounting for more than one out of every two check ins domestically. Investments in AI driven technology and mobile innovations have made it easier for members to book directly, track rewards and enjoy exclusive offerings, including over 300,000 experiential travel opportunities globally through partnerships with Viator, Caesars, Minor League Baseball and others. From on field college football game experiences to private VIP tours, show tickets, cooking classes, extreme adventures and more, these experiential offerings continue to cement Wyndham Rewards as the industry's number one ranked loyalty program and the industry's fastest way to earn a free night. We delivered strong growth in ancillary fees throughout the year, led by the continued expansion of our co-branded credit card program as initiatives like Wyndham Connect, our new guest engagement platform that automates upselling of early check ins and late check outs are ramping up well and are expected to contribute incrementally. The primary driver of ancillary fee growth in 2025 remains our suite of co-branded card products. Just last week, we finalized a long-term agreement to renew our U. S. co-branded credit card with our card provider Barclays. And as a result, through new marketing initiatives, new product opportunities and program modernization, we expect to accelerate cardholder acquisitions and capture a greater share of member wallet. The improved economics will begin benefiting Wyndham immediately. And we also recently finalized an agreement to launch a co-branded debit card, the first of its kind in The United States hospitality sector. In collaboration with our new partner, Galileo Financial Technologies, a platform owned by SoFi, this innovative product is designed to tap into the $4.5 trillion debit card spending market, providing our loyalty members an alternative solution to earn Wyndham Reward points on their everyday purchases. We expect the debit card to be available within our digital ecosystem by the peak of our busy summer travel season. Before turning the call over to Michele, we want to take a moment to express our gratitude to our team members around the world. Their hard work and their commitment to our owner first operating philosophy is critical to the success we continue to achieve. 2024's results underscore Wyndham's ability to execute on the key pillars of our long-term growth algorithm, including strong development momentum, continued royalty rate expansion, sustained ancillary fee growth and increased weekend demand highlighting our growing infrastructure spend capture. Our performance represents the building blocks for sustained momentum and successful achievement of our 2025 goals and longer term growth strategy. And with that, I'll now turn the call over to Michele. Michele?
Michele Allen: Thanks, Geoff and good morning, everyone. I'll begin my remarks today with a detailed review of our fourth quarter and full-year results, followed by an update on our cash flows and balance sheet. I'll then cover our 2025 outlook. Before we get started, let me briefly remind everyone that the comparability of our financial results is impacted by the timing of our marketing fund spend. In the fourth quarter of this year, marketing fund revenues exceeded expenses by $5 million as expected compared to revenues exceeding expenses by $9 million in the fourth quarter of last year. During full-year 2024, marketing fund expenses exceeded revenues by $1 million while in 2023, marketing fund revenues exceeded expenses by $9 million. To enhance transparency and provide a better understanding of the results of our ongoing operations, I will be highlighting our results on a comparable basis, which neutralizes the marketing fund impact. In the fourth quarter, we generated $341 million of fee related and other revenues and $168 million of adjusted EBITDA. Fee related and other revenues increased 7% year-over-year, reflecting higher franchise fees and broad based momentum across all key drivers with system growth up 3.6%, RevPAR up 2.9% including currency effects and royalty rates improving 19 basis points globally. Adjusted EBITDA increased 12% on a comparable basis, driven by our higher fee related revenues and ongoing margin expansion from operational improvements. Adjusted diluted EPS grew 18% on a comparable basis to $1.04 reflecting our adjusted EBITDA growth and our share repurchase activity partially offset by higher interest expense. For the full-year, we generated approximately $1.4 billion of fee related and other revenues compared to approximately $1.38 billion last year, which included $18 million of pass through revenues from our Global Franchisee Conference conducted in 2023. Absent this impact, the increase in fee related and other revenue was driven by higher royalties and franchisees, including net room growth and expansion of our royalty rates. And we also saw ancillary revenues grow 6% this year with strong contributions from both our co-branded credit card program and partnership revenue. Full-year adjusted EBITDA increased 7% on a comparable basis to $694 million driven by our higher fee related revenues as well as margin expansion. Our 2024 adjusted EBITDA margin improved 200 basis points with roughly three quarters of this improvement representing scale benefits and operational efficiencies expected to carry into 2025. Adjusted diluted EPS increased 10% on a comparable basis to $4.33 reflecting our EBITDA growth and share repurchase activity, partially offset by higher interest expense. Adjusted free cash flow was $130 million in the fourth quarter and $397 million in the full-year with a conversion rate from adjusted EBITDA of 57%. Our adjusted free cash flow yield of nearly 5% continues to be best in class within the lodging sector. Our capital allocation strategy remains unchanged. We're prioritizing strategic investments to grow our system whether through organic expansion or acquisitions and we're targeting high FeePAR accretive properties. Our goal is to improve the per room contribution to EBITDA creating a multiplier effect that compounds over time and drives strong sustainable growth. To that end, demand for our brands is robust as reflected in the 5% increase in our pipeline Geoff shared earlier. In 2024, we strategically deployed $109 million of investment advances to add new hotels to our system with a FeePAR premium of 38% over our existing portfolio. This intentional strategy is performing as planned. Over the course of 2024, we added flagship hotels in major markets such as Miami, Seattle, Sao Paulo, Paris and Frankfurt. At the same time, we maintained a disciplined approach to capital deployment, ensuring the deals we underwrite consistently meet our hurdle rates and generate strong returns for our shareholders. We returned $430 million to shareholders in 2024, representing 6% of our market cap through $122 million in common stock dividends and $308 million in share repurchases at an average price of $75.63 about 30% lower than trading levels as of last Friday. Over the past five years, we have returned 30% of our market cap to our shareholders, leading all lodging C-corps in capital return. Earlier this month, as part of our continued commitment to shareholder returns, our Board of Directors authorized an 8% increase to the quarterly cash dividend, raising it to $0.41 per share beginning with the dividend expected to be declared in the first quarter of 2025 and reflecting the Board's ongoing confidence in the strength of our business model and our ability to consistently generate strong cash flows. We ended the year with approximately $765 million of total liquidity and our net leverage ratio of 3.4x remains as expected near the midpoint of our target range. Now turning to outlook. We expect our global net room growth to accelerate to a range of 3.6% to 4.6% in 2025. We are projecting global RevPAR growth of 2% to 3% on a constant currency basis. For those modeling in currency effects, you'll need to adjust that about 150 basis points. Our expectations reflect several key dynamics that are worth detailing. First, while U.S. RevPAR growth exceeded 5% in the fourth quarter, about a 0.5 of that growth was driven by hurricane impact, which we are adjusting out of our 2025 build. Second, we expect weekdays will continue to outperform weekends, driven by blue collar and infrastructure related demand in the U.S, which should also provide a modest pricing boost. Third, we expect leisure demand to improve this year. In 2024, we saw some leisure demand shipped away from U.S. drive to destinations like National Park and we anticipate part of that demand will return to the U.S. in the upcoming vacation season. We've already seen a meaningful improvement during the fourth quarter with leisure demand up 340 basis points excluding hurricane impacts and this trend continued into January. Taking all these factors into account, our outlook includes 150 to 200 basis points of U.S. growth from infrastructure slightly above the 140 basis point lift seen in the fourth quarter, and then along with 50 basis points of ADR growth and another 50 basis points from that stronger leisure demand. Finally, international RevPAR growth is expected to remain in line with 2024 overall, though the components will likely shift. We anticipate some deceleration in the EMEA growth rates after a strong 2024, while Asia Pacific is projected to accelerate as China's recovery continues. On to the financials, which include the expected benefits from our renewed co-branded credit card agreement with Barclays. Fee related and other revenues are expected to be $1.49 billion to $1.51 billion. This includes approximately $15 million of EBITDA neutral revenue in our marketing reservation and loyalty funds associated with our Global Franchise Conference, which will be held in May of this year. Adjusted EBITDA is expected to be between $745 million and $755 million reflecting year-over-year growth of 7% to 9%. Adjusted net income is projected to be $369 million to $379 million and adjusted diluted EPS is projected at $4.66 to $4.78 an increase of 8% to 10% based on a diluted share count of $79.2 million which as usual assumes no share repurchase activity or incremental interest expense associated with any potential borrowing activity. Free cash flow conversion before development advances is expected to range between 57% and 60%. In addition to the cash we generate from operations, we also benefit from a strong balance sheet. At the midpoint, our adjusted EBITDA growth when levered will provide another $550 million of available capital in 2025 to either invest in the business or to return to shareholders. We expect approximately $110 million of this capital will be deployed as development advance spend consistent with 2024. A few quick notes on seasonality. While we expect our marketing funds to break even on a full-year basis, we will continue to see timing differences in our quarterly results. We expect the funds to unfavorably impact adjusted EBITDA comparability by $3 million to $5 million in both the first and second quarters and then have the reverse favorable impact on comparability in the back half of the year. Including these timing effects, we anticipate roughly 20% of our annual adjusted EBITDA will occur in the first quarter. Finally, we continue to expect a three year adjusted EBITDA CAGR from 2024 to 2026 of approximately 8.5%. To close, we're very pleased with our 2024 results, which highlight the strength of our business model and our ability to drive meaningful growth even amidst a soft RevPAR environment for much of the year. This performance underscores the effectiveness of our strategic plan and the disciplined execution that has been critical to our success. We are confident in achieving the targets we set in late 2023 with this year's results marking a strong step towards realizing that plan and laying a solid foundation for the future. As we move into 2025, we are well positioned to accelerate growth and create lasting value for our stakeholders. With that, Geoff and I would be happy to take your questions. Operator?
Operator: Thank you very much, Ms. Allen. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. We'll go first this morning to Brandt Montour of Barclays.
Brandt Montour: Good morning, everybody. Thanks for taking my question. I wanted to start off with a question about development. The net unit growth guidance of 4.1% at the midpoint is a sort of 50 bps lift year-over-year acceleration. Can you help us break that up between a lift in new construction versus a lift in conversions versus the retention improvement? And then if you could also help us understand if it's sort of pro rata similar in the U.S. versus international?
Michele Allen: Good morning, Brandt. Thanks for the question. Sure. The net room growth guidance is has the low end anchored to our 2024 performance, which is then reflecting our expectation to accelerate growth over this key driver in 2025. And I would say the low end is consistent production levels with 2024. So it's including a 95.7% retention rate and then the gross openings of 7.9%. At the high end, I think we would be looking for retention to improve about 30 basis points and then gross opens to improve 70 basis points, so probably ending somewhere just above 8.5% closer to 9%. New construction will be a bigger portion of net room growth in 2025, particularly as ECHO continues to ramp and we should see improved results out of the U.S. compared to 2024 and international will continue to produce at or above 2024 production.
Operator: Thank you. We go next now to Michael Bellisario with Baird.
Michael Bellisario: Thanks. Good morning, everyone. Just want to stick on the development front, but also focus on key money. Kind of two questions here. One, are you seeing higher returns on key money investments today or has that been relatively stable recently? And then second, just in terms of the dollars that you're investing, I understand that it's flat year-over-year, but broadly speaking, are you doing more dollars in the same amount of deals or more deals with plus or minus the same amount of dollars invested? Thanks.
Michele Allen: Good morning. Yes. So we're really excited about our key money strategy and what the teams have been able to produce with this tool, in the toolbox. The strategy is working. We're deploying more key money and by doing that we're attracting higher FeePAR properties, in strategic markets. Less than 20% of our additions this year have key money and those with key money are bringing in FeePAR premiums of 40% compared to those without. So we're thrilled to be putting some of this excess cash flow to work here. Always judicious in our use of capital and of course ensuring deals we underwrite meet our hurdle rates, and that there's a healthy return for our shareholders. And as interest rates continue to decline, those returns continue to improve. '25 guidance is consistent with '24 and it assumes a steady approach to capital deployment. Importantly, what we are deploying is predominantly going into that midscale and above space about, I'd say about 90% is deployed in the U.S. and the vast majority of that is for midscale and above, and then obviously some for ECHO as well.
Operator: Thank you. We go next now to Lizzie Dove with Goldman Sachs.
Lizzie Dove: Hi there. Thanks for taking my question. You mentioned an interesting point about the pipeline representing 30% and 40% FeePAR premium to your current U.S. and international system respectively. Could you maybe talk a little bit more about to what extent is that factoring into this year's guidance or how soon can we start to see that flow through to your results over the next few years?
Michele Allen: Hi, Lizzie. Yes, I think it absolutely is part of this year's guidance when you think about RevPAR and our expectation to outperform the industry. Our brands typically outperform. We saw that in the economy space 100 basis points in the fourth quarter. In the midscale space, it was 300 basis points. This is not a one quarter anomaly. They consistently outperform STR and this higher FeePAR strategy is part of that outperformance as is just kind of the brand halo and what our brands and distribution platform produce. So that is certainly a piece of what we're expecting to see in 2025 from a RevPAR perspective as well as obviously the largest impact coming from the infrastructure spend category.
Lizzie Dove: Awesome. Thank you.
Michele Allen: Thank you.
Operator: We'll go next now to Stephen Grambling of Morgan Stanley.
Stephen Grambling: Thanks. On the non-room fee side, you talked about the credit card fee stream getting a step up. How should investors be thinking about that segment's growth longer term? And if I can sneak a kind of related question in there on the debit card program, what percentage of your bookings are typically on debit cards?
Geoffrey Ballotti: Well, it's -- the first part of the question. And, well, let me start with debit card and then I'll pass it to Michele on the credit card. Right now, it is not a material percentage that come across on the debit card. But, I mean, we think that this new debit card with SoFi's technology, it's the first of its kind in the industry. I mean, why we're doing it is really for us to provide an opportunity for credit card ineligible folks to earn Wyndham reward points, not only for hotel stays but also for everyday purchases. It is the industry, as we know, Stephen, is exploding. I mean, we're seeing it pick up nowhere near as big a piece as our credit card. Certainly, as we attract more Gen Y and Z, they are using it more and more frequently. But we really, with the rise of digital wallets like Apple Pay and Google Pay, it just makes these debit cards all the more appealing for our younger demographic that we've going to tracking so successfully. I'll let Michele take the credit card. Her team negotiated the deal. But I just start off by saying that Barclays has been an incredibly valuable partner of ours for over a decade. And we've created with Barclays a loyalty card that's already a category killer from a preference and a popularity standpoint. USA Today readers rank the Wyndham Rewards credit card as the best hotel credit card for the sixth consecutive year in 2024. And this deal, we believe, will keep our card top of mind and top choice for frequent travelers who are looking to maximize their stays through Wyndham Rewards. And I'll pass it over to Michele.
Michele Allen: Great. Thank you. Yes, we are really excited about the new credit card deal. Over the last three years, the program has grown 8% on a compounded basis. And so there's a ton here to be excited about. Naturally the deal economics are stronger reflecting not just program growth, but also the scale of the loyalty program today as well as the potential for continued expansion in the future. We'll see digital innovations and marketing investments to drive more cardholders and increase purchase volumes and we'll see new products coming to market to better align with how we're growing our system footprint and meet the evolving expectations of our loyalty members today. So like I said, a lot to really be excited about. While we're restricted from giving certain competitive details as I'm sure, you can appreciate, I can tell you that we do expect ancillary revenue growth to be in the low teens range in 2025 up from the 6% we saw this year and that implies about 35 million of incremental revenue across all the ancillary revenue line items, that's almost double our prior expectation. And that's in part due to the early renewal of the Barclays card.
Operator: Thank you. We go next now to David Katz with Jefferies.
David Katz: Good morning, everybody. My question is largely for Michele. When we sort of look across the guidance for '25 and then in the context of the longer term guide you gave through '26, it implies some acceleration from '25 into '26. It begs the question of whether you're being a bit conservative this year and leaving a little bit of headroom or you are predicting more of a back end loaded kind of long-term guide. If you could help us with that, please?
Michele Allen: Sure. Good morning, David. As I mentioned in my prepared remarks, we still feel really good about achieving that 8.5% longer term CAGR at the midpoint. So growth has already accelerated in 2024. We're up 100 basis points from what we achieved in '23 and our outlook for '25 does imply further acceleration. I think it's about another 130 basis points at the midpoint of the guide. So clearly we're already seeing that trajectory and importantly everything we can control is performing really well. System growth, royalty rate, margin, market share, all in line are better than expectations and ancillary revenue, as I just mentioned is poised to meaningfully accelerate in 2025 with the Barclays card renewal and the new debit card launching. And so I think when we think about '26, those are -- those -- that momentum is what we expect to continue to build and it does imply a slightly higher growth rate and particularly as we move into a RevPAR growth cycle, we can then compound growth on top of what we achieved in 2024.
Operator: Thank you. We go next now to Patrick Scholes of Truist Securities.
Patrick Scholes: Hi, good morning, Geoff and Michele.
Michele Allen: Good morning.
Patrick Scholes: Good morning. I may have missed this. Did you say that there were well -- excuse me, will there be any hurricane impact into your RevPAR guidance for this year?
Michele Allen: We have adjusted the hurricane benefits out of our RevPAR guidance for 2025.
Patrick Scholes: When you say adjusted out, is that from the 4Q that you're adjusting out for the upcoming 4Q or there's some ongoing benefits at the moment? Could you just explain that a little bit more by saying what you mean by adjusting out?
Michele Allen: Sure, sure. The trending, when we look at the trending that we're moving into 2025, we're looking at it excluding the hurricane benefits. So clearly in the fourth quarter, we will have an unfavorable comp because we have the 140 basis points in 2024. But when we build our 2025 guide, it includes a 30 basis point headwind for hurricane. So that 2% to 3% in constant currency is reflective of what we will need to grow over from a hurricane perspective.
Operator: Thank you. We go next now to Steve Pizzella with Deutsche Bank.
Steven Pizzella: Hey, good morning everyone. Just wanted to stick with the 8.5% adjusted EBITDA CAGR to get to 2026. What type of RevPAR environment do you need to get there next year and do you need to see any improvement to FX? And then just sticking with 2026 and following up on the credit card, I know some deals do have a step up in year two. So how should we think about 2026 ancillary fees?
Michele Allen: On the RevPAR, I would say we're moving from flat last year to up about three points this year, and next year, we want three points or better. I think the math then would imply a CAGR over the three year plan of about, 1% to 2% and that would include currency effects. And with respect to the second question was?
Steven Pizzella: Had to do with a step up in year two, which I don't think we're at liberty, Michele, to talk about, in terms of the credit report fees and how to think about more generally ancillary fees going into 2026, which we feel very good about.
Michele Allen: Yes, I think 2026 revenues were expecting to be probably in the mid-teens range, so further acceleration from what we are seeing in 2025.
Steven Pizzella: Okay, that makes sense. So should we think about the ancillary fees throughout the year ramping up as we progress in 2025?
Michele Allen: Yes. I think on an economic basis that will absolutely work. When you go to model, technically speaking, the way rev rec plays in, you may get a little bit of a different funky result on a quarterly basis. But economically, certainly, the ramp would accelerate.
Steven Pizzella: Okay.
Operator: Thank you. We'll go next now to Dany Asad with Bank of America.
Dany Asad: Hi, good morning everybody. Geoff or Michele, just another development question for you. Can you maybe just give us a little bit more details on kind of your -- in your net rooms growth outlook? How do we think about China specifically? That's kind of what's embedded in there? And then as higher level, but as you've been pushing into all these higher FeePAR rooms in your development, does your natural retention of the overall system change and where should we think about that going over the longer term?
Geoffrey Ballotti: Yes. Thanks for the question, Dany. They're both great questions. Absolutely, as we move up, you look at our pipeline, 85% of it being midscale, upper midscale, upscale and upper upscale. Those chain scales, if just naturally, if we look at STR, have much higher retention rates than economy. Where we have seen phenomenal success, obviously, I think STR has an economy chain scale out there in the 92s. We have moved our economy chain scale retention up to 95. But we certainly have, as we look in our upper upscale brands like La Quinta, much higher retention rates. So that should help us from a retention rate standpoint moving forward. To China, we are actually heading over there tomorrow night for another signing ceremony in our Shanghai office. We cannot express how optimistic things look over there right now on the ground for the team. They are just seeing continued acceleration on openings, on their executions and on all development fronts, not only in China but across Asia Pacific where we are heading after our Shanghai, stop over to Singapore and Thailand. Q4 we opened in China another 4,000 direct China rooms at significantly higher license fees. It was up 43% to last year and that drove that 16% net room growth in our China direct system. And the team executed another, I think it was over another 250 new deals, which was 30% more executions than last year. So we are not seeing any slowdown. The new construction pipeline is incredibly robust. It's growing. 60% of the contracts awarded are new construction and we are still seeing that happen. We have got a lot of photos in our IP of just some great new construction Wyndham brands that have been opening. And we are also seeing a great pickup on the conversion side. And I think where we're really making headway on our direct franchising business at higher royalty rates is on those same year sales, those same year opens that continue to pick up. We had 30 direct franchising hotels open in the fourth quarter, which was roughly half of our opening. So the team is feeling great. Wyndham is resonating very well, and we're looking for another good year over there.
Operator: We're next now to Dan Politzer of Wells Fargo.
Daniel Politzer: Hey, good morning everyone. Thanks for taking my question. The royalty rates stepped up nicely in the quarter. I think in the U.S. they were up 15 basis points year-over-year. How best to think about that as we kind of flow through into 2025 and even into 2026? I think you guys had a target out there of about 4.75%. So as we think about that getting that 8.5% EBITDA CAGR, how do you think about kind of that acceleration or uptick in your royalty rates in the next couple of years?
Michele Allen: Sure. I'd say we're tracking slightly ahead of schedule. We were six basis points this year. We had expected five. So, we're checking all the boxes here. We're seeing significant impact from new development activity. What's coming on is coming in at that 40% higher FeePAR premium. A part of that is showing up in the royalty rate. So today, the expectation is that we would probably be delivering right around that same five basis points in 2025 and the same for 2026. It could be a point or two lower or higher in '25 and a point or two lower or higher in 2026, but overall in line with the plan to deliver 15 basis points of improvement over that three year period.
Operator: Thank you. We go next now to Ian Zaffino of Oppenheimer.
Isaac Sellhausen: Hey, good morning. This is Isaac Sellhausen on for Ian. Thanks for taking all the questions. I just had one on ECHO Suites, which looks to have gone to a nice portion of the pipeline. Are you able to provide any update on early performance of the brand, maybe how you're seeing ADR RevPAR trends in Extended Stay compared to economy in midscale? Thanks.
Geoffrey Ballotti: Thanks, Isaac. Any of the developers that we're talking to right now who have opened ECHO Suites and are operating them today would say that they're ramping faster than they anticipated from both to your question an average daily rate. And for them, what's really important, the extended stay occupancy standpoint. So they're ahead of schedule. We're seeing many of these fill up during the midweek and guests will check out on the weekend and they will remain full, but just continued excitement. And those reports obviously embolden the ground breaks of those that have committed to multiunit ground breaks. And also, they are sharing that faster ramp than they anticipated with other developers. And that's been a meaningful contributor in terms of the excitement that's out there as we have executed a few more in the quarter. We executed 17 for the full-year. We now have 33,000 in the pipeline and construction going on as we presented in our IP last night across some really important states for us.
Operator: Thank you. We go next now to Meredith Jensen with HSBC.
Meredith Jensen: Hi, you just touched upon this a little bit, but I was hoping you might speak more about the booking window and length of stay sort of as I see the evolution of leisure and infrastructure as well as the growth of the extended stay and how those are kind of moving over time versus recent past where Thursday and Sunday were big days? Thanks.
Geoffrey Ballotti: Sure, Meredith. Thursday and Sundays are still well ahead of where they were pre-COVID, and we're continuing to see that length of stay lengthen. It was up another 140 basis points in the quarter. And so we're, as Michele said in her prepared remarks and in an earlier question, feeling really good about that leisure demand that's out there. It continues to strengthen. We talked about the Q4 weekend RevPAR being up, excluding hurricanes, 3%. We saw weekend demand Thanksgiving and Christmas. Those length of stays certainly lengthened as RevPAR was up excluding hurricanes 4% and we're not seeing anything but pick up so far this year with that strength carrying into January. Our Martin Luther King weekend RevPAR was up about that same 4% excluding hurricanes and our January RevPAR accelerated to 6% year-over-year with economy RevPAR in January increasing over 600 basis points as our economy in midweek continues to gain share. So we are seeing a lot of pickup from infrastructure in the midweek. That's what's been driving our share gain. And we're feeling really good so far with the first week of February outperforming the industry by another 200 basis points for our hotels here domestically, both economy and midscale.
Operator: Thank you. We go next now to Dan Wasiolek of Morningstar.
Dan Wasiolek: Hi. Excuse me. Good morning, guys. Thanks for taking the questions. Just kind of maybe two longer term big picture questions. You're seeing a nice pickup in your infrastructure contribution. Any change to your long-term fee revenue guidance from this segment? I think unless I missed it, you had talked about that in your marketing deck. And then maybe just a question on AI and how that might influence your direct and indirect distribution mix, if you have any thoughts on that? Thank you.
Geoffrey Ballotti: Sure. We've always sized this at over $3 billion revenue opportunity for our franchisees over the next decade and years. We're capturing an outside share of what we believe to be out there. And we are feeling really good about what's starting to happen around $450 billion or 75% of that incremental $600 billion of the spend has already been dispersed to state coffers, meaning that these projects are being planned for. But only $100 billion has actually been spent to date, meaning that it's actually been paid out. And we are seeing, as we said in our prepared remarks, the pickup. There are over 68,000, I believe infrastructure projects that have been announced to date across just so many areas from transport to energy to broadband. We have identified over 6,000 of those within 10 miles of markets where we have multiple Wyndham Hotels. And throughout 2024, as we said earlier, we saw over 2,200 projects start with 80% in those Wyndham markets that we referenced. And those franchisees in those markets saw that RevPAR gain of 6% in the 4Q, driving the 140 basis points of domestic RevPAR growth that we have seen. So we're feeling good about what's happening and what we believe will continue to happen moving forward. In terms of AI, because we were the first company to really move off of legacy platform, native built CRSs and PMSs, it's enabled us over the last six years to lay down a technology stack and a foundation that is really allowing us to harness AI. We have invested, as we have said, from 2018 up through last year over $300 million. We are working with best-in-class providers like Oracle and Sabre, Amazon and Adobe. And Canary, we've been talking a lot about Wyndham Connect in terms of how it is enabling us to really innovate faster at a lower cost, allowing us to talk directly with our customers through AI, but more importantly taking labor intensive tasks away from our franchisees, which they love, which is why they are all in. They are opting into this two-thirds of our system, opting into this at no cost. And in addition to that, it's really raising the service bar for our customers and it's allowing these small business owners to actually create monetization by selling early check ins and late check outs, by selling room upgrades and by selling amenities before the guests get to the room. It's delivering a level of automation that I don't think any of us ever before envisioned. And we're really taking the ebb and flow of those manual tasks and that customer demand away from franchisees having to staff for it and we're automating at every customer touch point we can.
Operator: Thank you. We go next now to Alex Brignall of Redburn Atlantic.
Alex Brignall: Hi, thanks so much for taking the question.
Michele Allen: Hi, Alex.
Alex Brignall: The pipeline evolution has obviously been incredibly strong, especially perhaps in context of some of the peers, much of their growth coming from kind of bolt on deals. I wonder if you can talk about opportunities that you've seen. A lot of your growth has been organic and helped by an improving retention rate. I wonder if you could talk about any opportunities for deals that might come outside of your organic activities? And then let's pretend that it's related. Anything you can say in terms of your owner relationships and opportunities that have risen as the sort of choice situation moves further and further in the rearview mirror? Thank you.
Geoffrey Ballotti: Well, I think with that uncertainty that you referenced towards the end of the question being out of the picture, it has allowed us to really supercharge and fuel that 200 basis point sequential, that 500 basis point year-over-year record, 250,000 rooms in our pipeline. And it's doing that not only domestically, but also internationally, really strong growth organically here in The U.S. and in EMEA. In Latin America, those mid-scale and above brands are what's driving it. 85% of our pipeline taking out that one brand, that economy chain scale, ECHO Suites is in that midscale, upper midscale, upscale and luxury segment. And 25% of our pipeline is now upscale and above versus roughly 12% of our system. So that move to upscale is really allowing our upper upscale brands to continue to grow. They're often significantly underpenetrated versus some of our larger peer competitors. And when an owner plugs into the Wyndham Rewards direct system where we may be driving over 60%, over 70%, in some cases over 80% of that Wyndham Rewards share of occupancy and not having to share it with another Wyndham Hotel in that market, that is something very meaningful and really helps their direct contribution and their ROI, which is what's been so exciting to our franchise sales teams that are actually delivering that pipeline growth.
Operator: Thank you. And that is all the time we have for questions today. Mr. Ballotti, I will turn things back to you for any closing comments.
Geoffrey Ballotti: All right. Well, thanks, Beau, and thanks to all of you for your questions and your interest in Wyndham Hotels & Resorts. Michele, Matt and I look forward to talking to and seeing many of you in the months ahead at many of the upcoming investor conferences that we will be attending. In the meantime, have a Happy Valentine's Day tomorrow everybody and thanks again for joining us.
Operator: Again, ladies and gentlemen, this does conclude today's Wyndham Hotels & Resorts fourth quarter and full-year 2024 earnings conference call. Please disconnect your lines at this time and have a wonderful day. Goodbye.